Operator: Good day and thank you for standing by. Welcome to the Seer Fourth Quarter and Full-Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Carrie Mendivil, Investor Relations. Please go ahead.
Carrie Mendivil: Thank you. Earlier today, Seer released financial results for the quarter and year ended December 31, 2024. If you have not received this news release, or if you'd like to be added to the company's distribution list, please send an email to investor@seer.bio. In addition, during today's conference call, we will be referencing a slide presentation that can be accessed on the Events and Presentations section of Seer's Investor Relations website. Joining me today from Seer is Omid Farokhzad, Chief Executive Officer and Chair of the Board; and David Horn, Chief Financial Officer and President. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section titled forward-looking statements in the press release Seer issued today. For a more complete list and description, please see the risk factors section of the Company's annual report on Form 10-K and in its other filings with the Securities and Exchange Commission. Except as required by law, Seer disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time sensitive information and is accurate only as of the live broadcast February 27, 2025. With that, I'd like to turn the call over to Omid.
Omid Farokhzad: Thanks, Carrie, and thank you everyone for joining us this afternoon. I will begin our call today by providing updates on our business and I will then turn the call over to David to provide more details on our financial results for the fourth quarter and full-year 2024 as well as our outlook for 2025. Starting with Slide 3. I'm excited to share the tremendous progress we've made over the past year. We're a pioneer of deep unbiased proteomics at scale and in 2024 we further solidified our leadership in the field. This was driven by exceptional growth of customer publications and a highly compelling body of evidence validating the power of our technology. Our Seer Technology Access Center, or STAC, played a critical role in expanding access to Proteograph data, allowing more researchers to experience its impact and get access to deep unbiased proteomic insights that they couldn't achieve otherwise. Demand for Proteograph data remains strong and we've now served over 135 customers, including 12 large biopharma companies. We ended the quarter with $4 million of revenue, bringing total revenue for the year to $14.2 million with approximately $300 million in cash, cash equivalents and investments. Given the massive value we believe exists in our platform and the opportunity ahead, coupled with, in our view, the enormously dislocated market valuation of Seer, we used approximately $12 million of our cash to repurchase approximately 6.5 million shares during 2024, reducing the total shares outstanding by approximately 10% to 59 million shares. Despite ongoing macro environment challenges, I'm more confident than ever before about our future. We're transitioning from a pioneer of deep unbiased proteomics at scale to a trusted partner for discovery, translational and population-scale deep unbiased proteomics studies. As we expand upon the foundation we built in 2024, I believe we're well positioned for a stronger year ahead. Now I'd like to walk through our progress in 2024 across each of our strategic initiatives, which include: first, validating our platform by assisting customers to generate novel data; second, focusing our resources on enhancing access to the Proteograph product suite; and finally third, driving innovation through enhancements of our technology. Starting with the validation of our platform on Slide 4. To date there have been 33 customer publications, preprints and reviews showcasing the capabilities of our platform. In 2024 alone, 23 new peer-reviewed publications have been released with many appearing in high impact journals. Multiple preprints have already emerged this year, including a particularly compelling one added to bioRxiv last month that I will briefly highlight. Turning to Slide 5, as a pioneer of deep unbiased proteomics, we're seeing other providers emerge that are attempting to replicate our approach. However, they consistently fall short on delivering the depth, scale and reproducibility that sets the Proteograph apart. A recent head to head comparative study led by Professor Josh Coon at the University of Wisconsin-Madison directly compared Seer's technology against other plasma proteomics methods attempting to emulate the performance of our engineered nanoparticle approach. The results show that Seer outperforms across key metrics, detecting more low abundance protein while retaining the lowest noise levels on par with neat plasma. Specifically, this outperformance is shown across depth of coverage, reproducibility of the assay as measured by the coefficient of variance, quantitative metrics such as limit of detection, or LoD, and limit of quantitation, or LoQ, as well as the best in class measurement completeness to reliably see the same protein across the samples. Similar findings to Professor Coon's data have been validated by multiple other academic and industry leaders, reinforcing Seer's position as the trusted partner in deep unbiased proteomics at scale. Importantly, we believe our performance across these metrics represent only the tip of the iceberg of what our platform can do. There are so many other areas where we believe Seer is far superior to other approaches. These include, for example, batch to batch and lot to lot manufacturing robustness that makes it possible to run longitudinal population scale studies and our quality and IT systems are ISO 13485 and ISO27001 certified today. We're proud of the best in class quality and performance at a Proteograph product suite, making us a trusted partner for our customers. We saw continued validation of our platform at the 21st Annual U.S. Human Proteome Organization, or HUPO conference, earlier this week as our customers, collaborators and Seer's scientists' demonstrated new breakthroughs enabled by our technology across 13 posters and oral presentations. This research highlighted the role of the Proteograph in understanding tissue biology, uncovering biomarkers with cardiometabolic dysfunction, interrogating downstream proteomics changes in response to novel RNA cancer therapeutics, enabling breakthroughs in mass spectrometry proteomics throughout and leveraging model organisms to advance human health. I'd like to highlight a seminar at HUPO held by Dr. Jinjun Shi, Associate Professor at Harvard Medical School and Brigham and Women's Hospital. Professor Shi is among the pioneers in RNA nanomedicine and among the very first nanomedicine investigators to study the downstream proteomics perturbation in cells after siRNA and mRNA nanoparticle delivery. In the studies he presented at the HUPO earlier this week, he discussed work from his laboratory where they turn off activated tumorigenic drivers of cancer with siRNA to silence androgen receptor expression while concurrently turning on the expression of tumor suppressors using mRNA that encode the PTEN protein. Using prostate cancer as a model the team then followed the downstream effects of these synergistic therapeutic modalities at the molecular level, looking at changes in the cellular proteome and the biological insight was highly differentiated. We're proud that the Proteograph product suite is enabling prominent researchers like Dr. Shi to accelerate advancements in precision cancer research and ultimately improve human health. We believe we are reaching a clear inflection point as more customers' data validates our technology and the scale of project increases in size. We expect the pace of customer validation to further accelerate this year as more researchers get access to our technology. Now moving to Slide 6 to take a closer look at our progress with accelerating access to the Proteograph product suite. Our global reach is growing with over 135 customers served across 20 countries. To capitalize on the increasing demand, we made significant investments in our commercial infrastructure in 2024 and doubled the size of our commercial team in North America. New sales reps typically take six to nine months to ramp up and we are seeing these new team members become increasingly productive as they approach this stage. We now have six channel partners covering Europe, Asia Pacific, Africa and the Middle East to accelerate market development and drive adoption globally. In addition, we're excited to welcome Amber Faust as our new Vice President of Global Sales. Amber brings over 15 years of experience and was most recently at Standard BioTools where she led the North America sales team for SomaLogic products and previously held commercial roles of increasing responsibility at Olink, Metabolon and Waters. With a proven track record of expanding market reach and driving revenue growth in the proteomics space, we look forward to our contributions to accelerate adoption of our Proteograph product suite and strengthen our customer relationships. Looking ahead, we will continue to make strategic investments in direct sales and support as needed for throughout 2025. A key driver for our performance in 2024 has been the growing demand of STAC, which allows a Proteograph user to run samples in their own lab and have Seer run the mass spec or alternatively provides end to end services from sample to proteomics data and analysis. We opened our first STAC in the U.S. in late 2023 and given the demand we saw, we expanded into Bonn, Germany with its second STAC in 2024. Approximately a fourth of these customers have returned to repeat STAC projects and we've seen multiple STAC customers purchase the Proteograph product suite to bring the instrument in house. Importantly, we continue to see strong interest from large biopharma companies, who are eager to access our technology, and STAC has been an important catalyst for accelerating this adoption. The Proteograph product suite is applicable to a wide range of sample types and works with any species, including the model organisms typically used in medical research and drug development. Notably, approximately a third of the STAC projects have been utilized samples from model organisms demonstrating a clear unmet need for differentiated technology. We believe this increased access through STAC will continue to catalyze the generation of third party data and publications, further highlighting the transformative potential of the Proteograph product suite and facilitating broader adoption. We saw a lot of traction throughout the year with our Strategic Instrument Placement program or SIP. Multiple customers have now purchased instruments through this program, including several large biopharma companies. SIP has been an important catalyst for adoption and we expect for it to continue to remove barriers to access for our customers, who are capital constrained given the current macroeconomic environment. In November, we announced an expansion of our partnership with Thermo Fisher Scientific to co-market and sell the Proteograph product suite alongside the Orbitrap Astral mass spectrometers. This powerful pairing makes it possible for the first time to achieve population scale deep unbiased proteomics with exceptional robustness and reproducibility. In addition, this partnership further strengthens our commercial reach and makes it easier for their customers to access its seamless end to end solution for unbiased proteomics. As part of the expanded agreement, we will also conduct joint marketing initiatives and research studies, including population scale studies to showcase the combined power of the proteomics platform. We're currently training the Thermo Fisher sales force and expect to complete the process in the first quarter of 2025. We look forward to continuing to operationalize this partnership and we'll provide updates on our progress throughout the year. This momentum underscores our commitment to making deep unbiased proteomics more accessible than ever, and we're excited about the opportunities ahead in 2025 and beyond. Now turning our effort to drive product innovation and application expansion on Slide 7. In 2024, we upgraded our Proteograph Analysis Suite, or PAS, to be the most scalable proteomic analysis solution available today. Our upgraded PAS significantly accelerates end to end workflows and has reduced data analysis time by over 95%. We remain committed to investing in our software and data analysis capabilities to further enhance efficiency and scalability for our customers. In addition to these advancements, we launched a new product application for the Proteograph XT earlier this month, specifically designed for cell lysate proteomics. This expansion extends the power of the Proteograph XT beyond plasma and tissue analysis, enabling researchers to expand intracellular proteomics across virtually any cellular compartments. This new capability adds to a growing list of over 10 Proteograph protocols available to conduct proteomic analysis and a diverse list of sample types, including non-human plasma or serum conditioned media, cerebrospinal fluid and dried blood samples. By leveraging the Proteograph for this application, researchers are expected to gain access to a significantly greater number of proteins, unlocking deeper biological insights. These innovations represent our ongoing commitment to providing the most powerful and scalable solutions for deep unbiased proteomics, and we look forward to continuing to expand the capabilities of the Proteograph product suite throughout the year. I remain incredibly bullish and excited about the potential of our technology to transform our understanding of the proteome. With that, I will now turn the call over to David.
David Horn: Thanks, Omid. Total revenue for the fourth quarter of 2024 was $4 million, representing a decrease of 10% compared to the $4.4 million in the fourth quarter of 2023. It was primarily due to lower instrument sales and no grant revenue recognized in the quarter, offset by an increase in consumable and service revenue. Revenue recognized primarily consisted of sales of Proteograph SP100 instruments, consumable kits and service revenue, of which $389,000 was attributed to related parties. Product revenue for the fourth quarter of 2024 was $2.4 million, including $36,000 of related party revenue and consisted of sales of SP100 instruments and consumable kits. We continue to see pressure on CapEx budgets and elongated sales cycles for the outright purchase of new instruments in the fourth quarter. Service revenue was $1.6 million in the fourth quarter of 2024, including $353,000 of related party revenue and primarily consisted of revenue related to STAC service projects. We continue to be encouraged by customer interest in running projects through STAC and their ability to gain access to Proteograph data. With this continued interest in our opening of our European STAC facility, we saw sample volumes increase year-over-year and on a quarter-over-quarter basis. As we have stated previously, we may continue to undertake projects for key strategic studies that will result in additional presentations and publications in the near-term, but are conducted at a lower price point than our typical STAC service projects. Grant and other revenue was $51,000 for the fourth quarter of 2024 and consisted of lease and shipping revenue. Total gross profit was $2 million for the fourth quarter of 2024 representing a gross margin of 51% compared to $2 million in the fourth quarter of 2023 representing a gross margin of 45%. Gross margins were driven by a higher mix of consumable and service revenue in the fourth quarter of 2024 relative to the fourth quarter of 2023. We continue to expect variability in our gross margin on a quarter by quarter basis since the proportion of instrument consumable and service revenue will fluctuate in any given quarter. Total operating expenses for the fourth quarter of 2024 were $25.5 million including $6 million of stock-based compensation, an increase of 5% compared to $24.2 million including $7.3 million of stock-based compensation in the fourth quarter of 2023. Research and development expenses for the fourth quarter of 2024 were $12.6 million, an increase of 13% compared to $11.2 million in the fourth quarter of 2023. The increase in R&D expenses was primarily due to an increase in laboratory expenses. Selling, general and administrative expenses for the fourth quarter of 2024 were $12.9 million, a decrease of 1% compared to $13.1 million in the fourth quarter of 2023. The decrease in SG&A expenses was primarily due to a decrease in stock-based compensation expenses offset by an increase in professional service expenses. Net loss for the fourth quarter of 2024 was $21.7 million compared to $17.8 million in the fourth quarter of 2023. Turning to the full-year, total revenue for the full-year of 2024 was $14.2 million, representing a decrease of 15% compared to $16.7 million in 2023. Revenue recognized primarily consisted of sales of Proteograph SP100 instruments, consumable kits, and service revenue, of which $2.3 million was attributed to related parties. The decrease in total revenue was driven by lower product sales and no grant revenue recognized during the year. However, total product and service revenue in 2024 excluding related party and grant and other revenue increased approximately 11% year-over-year to $11.7 million from $10.5 million in 2023. Product revenue for the full-year 2024 was $10.2 million, including $1.5 million of related party revenue and consisted of sales of SP100 instruments and consumable kits. Service revenue was $3.8 million for the full-year 2024, including $828,000 of related party revenue and primarily consisted of revenue related to STAC service projects. Grant and other revenue was $223,000 for the full-year 2024 and consisted of lease and shipping revenue. Going forward, we will be providing retrospective annual figures for consumable pull through. In order to provide informative consumable pull through information, we will shift from reporting instruments shipped to instruments installed. We shipped 10 SP100 instruments in 2024, bringing our cumulative instruments shipped to 72 as of December 31, 2024. Our installed base of instruments as of year-end was 49 instruments. The difference between these two numbers reflects instruments that have been sold and shipped yet not installed and instruments that have been sold to our channel partners but not placed in customer sites as of year-end and any instrument that has been retired or in the case of a loaned instrument returned to us. For 2024 the consumable spend across that installed base represents a pull through per instrument of approximately $174,000. Going forward, we will be reporting consumable pull through and instrument installed base on an annual basis. We will provide an update to these numbers retrospectively for the previous year on our earnings call to report fourth quarter and annual results. We will not be providing updates on a quarterly basis. Total gross profit was $7.1 million for the full-year 2024 representing a gross margin of 50% compared to $8.5 million in 2023, representing a gross margin of 51%. While we continue to expect overall volatility in our quarterly gross margins, we anticipate that overall gross margins for the full-year 2025 will be in the range of 50% to 53%. We continue to believe that at scale, our long-term gross margins will be in the range of 70% to 75%. Total operating expenses for the full-year 2024 were $107.2 million, including $26.6 million of stock-based compensation, a decrease of 4% compared to $112 million, including $32.9 million of stock-based compensation in 2023. Research and development expenses for the full-year 2024 were $50.6 million, a decrease of 5% compared to $53 million in 2023. Selling, general, and administrative expenses for the full-year 2024 were $56.6 million, a decrease of 4% compared to $59 million in 2023. Net loss for the full-year 2024 was $86.6 million compared to $86.3 million in 2023. As previously announced, our Board of Directors authorized a $25 million share repurchase program in May of last year. Under this program, we repurchased approximately 6.5 million shares of Seer Class A common stock at an average cost of $1.82 per share during the year reducing our shares outstanding by approximately 10% to approximately 59 million shares of class A and Class B common Stock. As of December 31, 2024, we had approximately $13.2 million in authorization remaining under this share repurchase program. Consistent with our share repurchase program, we have taken two additional actions that leverage our strong balance sheet and fundamental belief in the long-term value of the Seer platform to make prudent investments while limiting or decreasing shareholder dilution whenever possible. First, given our visibility to organizational growth, we believe that the existing equity incentive plan is sufficient for 2025 and thus we opted to forego the annual automatic refresh of the plan in 2024. Second, we net shares settled and retired approximately 360,000 shares as part of our February 2025 RSU vesting date, further reducing our outstanding shares by approximately another half of a percentage point on top of the 10% reduction achieved with our share repurchase program. Free cash flow loss was approximately $49.4 million for the year ended December 31, 2024, significantly less than our free cash flow loss of $66.4 million in 2023. Looking ahead for 2025, we expect free cash flow loss to be in the range of $40 million to $45 million for the year. We ended the year with approximately $300 million in cash, cash equivalents and investments. We aim to continue to manage our significant cash balance in an extremely prudent manner and to continually evaluate our deployment of capital in order to maximize shareholder value. Importantly, we believe that with our current cash, cash equivalents and investments on hand, we have sufficient capital to reach cash flow breakeven. While our long-term target is to become a profitable company, we are balancing that goal with the investments needed to innovate and build the company to drive sustained growth in the future. We believe that our strong balance sheet is an important differentiator and puts us at a significant advantage to capture the massive opportunity ahead. Turning now to our outlook for the year on Slide 9. We expect revenue to be in the range of $17 million to $18 million for 2025, representing growth of 24% at the midpoint over the full-year 2024. Our guidance range assumes continued macroeconomic uncertainty and budget pressure for our customers, similar to what we have seen in the second half of 2024. However, the NIH and government funding environment remains extremely uncertain and volatile. In 2024, revenue from government entities represented approximately 12% of our overall revenue, and any fluctuations in NIH and government funding uncertainty may impact a portion of these customers in 2025. Given this uncertainty, we have adjusted our outlook for these accounts and this is reflected in our guidance. At this point, I would like to turn the call back to Omid for closing comments.
Omid Farokhzad: Thank you, David. Moving on to Slide 10, I'm incredibly proud of our team and their execution in 2024. We've made significant progress in driving customer publications and validating the power of our technology. Despite ongoing macro environment challenges, I believe we are well positioned for a stronger year ahead. We're focused on four key growth drivers in 2025, which include expanding our user base and continuing to enhance access, driving larger cohort studies, continuing to drive product innovation, and enabling more customers to generate meaningful and actionable biological insights. I look forward to keeping you updated on our progress. And with that we will now open the call up for questions. Operator?
Operator: Thank you. At this time we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Dan Brennan of TD Cowen. Your line is now open.
Unidentified Analyst: Hi, good afternoon guys. This is Kyle on for Dan. Thanks for taking the questions. I wanted to start with guidance for 2025. You talked again about budget sort of being constrained and things looking similar to how they did in the back half of 2024. But I guess in the context of you guys placing around 10 instruments in 2024, how should we think about sort of the split between instruments and consumables in 2025? And then maybe how should we think about 1H, 2H pacing? Thank you.
Omid Farokhzad: Kyle, thank you. Omid here. Let me start it and then I'll hand it to David to give you some additional color if you don't mind. 2024 was a really tough year in terms of CapEx. And if I look at that instrument placement in 2024, it was very much tilted toward the back half of the year. The beginning of the year was really tough. If I look at our pipeline, including what I expect would happen in the beginning of the year in 2025, we feel good about the guidance being given by the way, and this is in the context of the broader picture, which is the challenges around uncertainty with the NIH budget. All of those are factored in. So I think that the expectation for instrument placement to be very meaningfully different from last year is reasonable. While we're not going to give quarter by quarter placement, if I just look at the pipeline, including what's available in Q1 and Q2, I think the pace is going to be a very different pace than what we saw in 2024. I would attribute this increase in velocity largely to the progressively strengthening tailwind that we're experiencing as the validation of our technology in the hands of customers is becoming more and more robust. Despite the challenges in the macro environment and by the way even more complexity around some of the budgeting with the NIH, I think the tailwind is strong enough that I do feel very good about the guidance being provided. But let me have David to give you additional color on that. David?
David Horn: Yes, thanks Omid. Yes, Kyle, I think in terms of how we think about 2025, I think we probably see it shake out similar in terms of the breakdown. If you looked at where product revenue was in 2024 is around 72% of overall revenue and I'm including related party in that product revenue and then service was about 27%. So I think the breakdown will probably be pretty similar this year. Again we do, as Omid said, expect more instrument placements. 2024 was a really tough year. We are seeing some loosening of that and more interest in the technology. But at the same time we are also seeing interest in bigger projects. So consumable revenue will obviously be a significant portion as well.
Unidentified Analyst: Got it. Thank you. And then maybe another one on the STAC program, it looked pretty strong in 4Q at least Q over Q. Is there anything you can discuss on the STAC pipeline and backlog and maybe how we should think about the trajectory of STAC revenue as we move throughout this year?
Omid Farokhzad: Yes Kyle. So as -- we said this when we started the US STAC. We repeated it when -- a year later we added the European STAC in Bonn, which is that we're not interested in becoming a service company. And so the STAC capacity that we built in the U.S. and the capacity that we built in Europe, my expectation is that we're going to keep that capacity fairly consistent. If there is a surge, then the opportunity is for those service projects to then go to our centers of excellence. We have excellent centers in Europe and U.S. that would be able to service those customers extremely well. Now if you look at the STAC revenue and the STAC capacity, you'll see some increasing in revenue and I think in large part it's because the purpose of the STAC was to lower the barrier to access. We did some important collaborations with key lighthouse account with key KOLs. Those STAC projects were done at a lower price points early on. As the technology is getting more and more validated, the STAC projects tend to be closer to what the normal service project would be priced. And so, you're going to see an increase in revenue. In terms of capacity, the STAC is running largely at the capacity that we would expect and we're not going to be able to add additional capacity. So at some point STAC revenue will begin to plateau. Now there's opportunity for us to do improvement in product offerings and those offerings will also translate into product offerings in the STAC. That may alter if you would STAC capacity. But in terms of the infrastructure for services, what we have built is largely what we're going to keep if anything in terms of additional capacity will likely come in terms of adding a STAC, maybe in Asia, though I don't have any immediate plan to do that in the first half of 2025. Let me have David give you some additional color in terms of the kinds of customer we're seeing and by the way, some of the repeat accounts that we're seeing, I think some additional colors with the STAC would be helpful. David?
David Horn: Yes, so Kyle, Omid kind of hit on it. The growth was really we had done some strategic collaboration projects early on, but we are continuing to see good demand both from large pharma, who we've got quite a number of large pharma customers now, testing the technology through our STAC. And we have had a good number of repeat customers that want to do bigger studies and things. So, generally, the trends are very positive. We are seeing an uptick in the SP relative to STAC. So again the gross coming from not only increased volumes, but increased prices from large pharma and also academic customers. Interestingly, we also see a lot of model organism projects as well. So about a third of our projects last year were model organisms. So that's really encouraging that people want to test different species, which our technology can obviously do very well. And so, all signs are very encouraging just around STAC in general. So we're very optimistic for it in 2025.
Unidentified Analyst: Got it. Thanks guys.
Operator: Thank you.
David Horn: Thank you.
Operator: Our next question comes from the line of Rachel Vatnsdal of JPM. Your line is now open.
Marta Zaremba: Hello, this is Marta Zaremba on for Rachel Vatnsdal from JPMorgan. Thank you for taking my question. So I just wanted to dig into the NIH headlines we've been recently hearing that you touched a little bit in your prepared remarks on. So can you discuss what you heard from your research customers related to these NIH risks? And are you perhaps seeing more hesitation from customers? And then can you also discuss January and February trends with your academic customers? Thank you.
Omid Farokhzad: Marta, maybe I'll open it up and again I'll have David comment, which is if I break down our government customers, and that includes the likes of NIH and then academic customers that also rely on custom -- on NIH funding, about 12% of our revenue -- in 2024 overall revenue came from government entities, and then an additional 18% came from academic groups. So in aggregate, it was about 30%. If I look at what the customers are saying, keep in mind that the indirect funding doesn't directly impact the funding that the PI has to spend. So an indirect funding is the additional funding that goes to the organization in terms of paying for the overhead, but the actual money that a researcher spends, that's part of their direct funding, and there's no immediate plan to reduce that. That said, there is a general level of anxiety in terms of the unknown. What is happening? Is the reduction in indirect actually going to materialize or not? Because if it does, it impacts how a broader research organization makes infrastructure investments, not necessarily that specific PI spending money on their research, but a much broader type of investment that you make in a research organization. So I think that uncertainty is making everyone kind of pause and think. And we factored all of that into the guidance that we provided. So our current guidance assumes a very constrained, a very cautious mindset in terms of that roughly 30% of our account, 12% government, 18% academic, and how -- and they may view the funding and how they may view their spend. But by the way, as a former academic, I'm actually optimistic that at the end science will prevail and that ultimately what has made this country great is our innovation, and investments in those innovations are going to remain intact. So I have to assume that some of the uncertainties that we're seeing over the course of the coming months are going to clarify and I think are going to put the scientific community more at ease. David, let me hand it to you as well.
David Horn: Yes. Just to address your second question, Marta, around what we're seeing in the early part of the first quarter here, I think it just is consistent with what Omid said, a lot of uncertainties. So people unsure if their funding is there, there is no change in the desire to bring the technology in. It's just, am I going to have the funding to be able to do that. We have had people kind of pause, and in certain instances they've gotten clarity that they do have their funding, it is intact, and so they're moving forward. Others are still kind of more uncertain. So I think it's just -- there is no better word for it than just uncertainty, and that's creating some time phase delays and sometimes not. So it's really case by case. And we tried to boil the aggregate in our guidance, but to the extent there is significant changes, one way or the other that will obviously impact that.
Marta Zaremba: Understood, thank you. And then can you discuss what the publication pipeline for 2025 looks like? And then are you seeing any exciting projects on the horizon, similar to the large government contracts that you called out last quarter and the projects you called out today? Thank you.
Omid Farokhzad: Marta, it's been -- the publications has been really a bright light for us. We saw our first customer publication in 2023. And so 2024 was really a robust year in publications, and now we have more than 30 of them. I'm beginning to see the flywheel start to take place as researchers are seeing really uniquely what is possible using the Proteograph. And I expect that same velocity in terms of publication will continue in 2025 in terms of the number of publications coming. The STAC has been a great source of that, by the way, because it lets the customer access data very quickly and then that data then translates for the customer in terms of possible presentations or possible mechanism to write grants. So, I think, the pace of publications will take off and the evidence that the customers are putting forward is accelerating adoption by others. It's terrific to see this. We just did the HUPO, by the way, earlier this week. There were 12 total posters and oral presentations, again a fantastic conference, a lot of visibility for Seer. One of our customers gave an excellent talk in terms of looking at RNA medicines and when you treat models of prostate cancer with RNA therapeutics, what is the downstream effect in terms of proteomic perturbation. And if you look at this in an unbiased way, meaning you're not coming to it with any preconceived notion of what protein you should be looking at to be up or down regulated and in turn you look at the totality of the cellular proteome, for example, in response to an upregulation of a tumor suppressor or downregulation of an oncogene, and really what happens to that cell and all the proteomic changes. It's just fascinating. The types of biological insight that is emerging. And so, I'm very, very bullish in terms of our customer publications. And just earlier this week I heard of another customer, a government customer researcher, a government entity who just got a nature level paper accepted. So I think the velocity is taking up, Marta, and should be an exciting year for us in terms of papers.
Marta Zaremba: Great, thank you.
Operator: Thank you. Our next question comes from the line of Jason Lai of Morgan Stanley. Your line is now open.
Jason Lai: Hi, this is Jason on for Yuko Oku. Thank you for taking our questions. So you announced a co-marketing and sales agreement with Thermo Fisher last quarter. Just wondering what's baked in the 2025 guide for this collaboration. Are you expecting a material contribution this year from this collaboration? If so, does that imply a material 2H ramp? And also I believe it's a non-exclusive agreement. So how are you thinking about opportunities for future co-marketing collaborations like this one? And what criteria are you looking for in a partner? Thank you.
David Horn: Thanks, Jason. Yes, I'll take the first question. In terms of the co-marketing, so we did announce that back in the fourth quarter. This quarter we are currently working with Thermo to train their sales force. And so we're working through that this quarter. It's going well. And so we expect to see that completely operationalized in the second quarter. So excited about the partnership and what it can do. In terms of what we guided or how much is built into our guidance, I think we were pretty modest in that. I think we just want to see how things come together over the course of the next quarter or two. And so we try to be relatively circumspect around that. But we remain very, very excited for it. They've been great partners. And so we're looking forward to a good year with them. And I'll let Omid speak to the other potential partnerships.
Omid Farokhzad: David, thank you for that. Thank you for that David. So the two -- look the Thermo partnership was based on or built on several years of an excellent relationship that we had with them. But it's non-exclusive to give us flexibility really to work with other mass spec providers. Key is that we're always looking for ways to enhance access to the Proteograph. And our enthusiasm for the partnership with Thermo was based on the exceptional performance that the Proteograph and the Orbitrap Astral did together and the value that that would then provide to our customers. Now, as great as the Astral is and as unparalleled the performance of it is with the Proteograph, the Proteograph also significantly enhances the performance of every other mass spec, including those by Sciex and by Bruker. And we've had many customers or even our own labs that have demonstrated the meaningfully enhanced performance of those other instruments through many presentations and many publications. We continue to have dialogue with these parties as well for potential partnership in various different areas. They may not look the same as the Thermo partnership, they may be in other areas, but our approach is really just facilitating access to the Proteograph ultimately to help the customer get the best data they need for their studies.
Jason Lai: Thank you. That was helpful. And if I may ask a follow up, I believe I heard you say about $174,000 on consumables pull through per instrument. Please correct me if I misheard. I was just wondering what is your assumption in the guide for consumables pull through for 2025 and how do you see this number trending over the next few years? How much more room is there for this number to grow on your platform? Thank you.
David Horn: Yes, thanks Jason. Look, we're not going to guide in terms of the overall pull through. You did hear the number correctly. It was $174,000 per instrument. But look, I think there's -- obviously it's customer dependent. Obviously our commercial customers which are well north of that number and the academics are kind of below that number and this is kind of kind of where it averages out. But again I think there is plenty of capacity in a single Proteograph to do more than that per year. It really is just going to be project dependent and what types of projects customers are working on, whether they be small or large. I think the encouraging news is we are talking to folks about doing large population scale studies now. So we previously haven't really had significant opportunities in that area, but we're definitely in conversations with parties now. So again there's room. But again we also hope to grow the installed base more rapidly this year, right. So that's the tension. How fast does the installed base grow relative to the pull through on that? And so we're not going to give guidance now. But again we feel good about that pull through number and we'll continue to monitor as we go forward and update you in a year.
Jason Lai: Thank you. Appreciate the color.
Operator: Thank you. I'm showing no further questions. So thank you for your participation in today's conference. This does conclude the program. You may now disconnect.